Operator: Good morning, and welcome to the SNDL's Third Quarter 2022 Financial Results Conference Call. SNDL issued a press release this morning announcing their financial results for the third quarter ended on September 30, 2022. This press release is available on the company's website at sndl.com and filed on EDGAR and SEDAR as well. The webcast replay of the conference call will also be available later today on the sndl.com website. SNDL has also posted a supplemental investor presentation found on the sndl.com website. Presenting on this morning's call we have Zach George, Chief Executive Officer; Jim Keough, Chief Financial Officer; Tank Vander, President of Liquor Retail; and Andrew Stordeur, President and Chief Operating Officer. Before we start, I'd like to remind investors that certain matters discussed in today's conference call or answers that may be given to questions could constitute forward-looking statements. Actual results could differ materially from those anticipated. Risk factors that could affect results are detailed in the company's financial reports and other public filings that are made available on SEDAR and EDGAR. Additionally, all financial figures mentioned are in Canadian dollars unless otherwise indicated. We will now make prepared remarks and then we will move to analyst questions. I would now like to turn the call over to Zach George.
Zach George: Good morning, everyone, and welcome to SNDL's third quarter 2022 conference call. Q3 proved to be another encouraging quarter for our company. Our focus on operational execution and sustainable profitability is enabled us to deliver record revenue and operating cash flow this past quarter. I've spent almost three years openly discussing the challenges facing our company and the cannabis industry. And for the first time, I see contrary indicators suggesting that, the Canadian industry is nearing a trough, warranting a more bullish stance.  Despite the imperfect rollout of the Canadian legal cannabis market, a massive oversupply of licenses and products and continued pricing erosion, there are reasons for optimism at SNDL. In a sense, things in the Canadian cannabis industry are so bad that they are good. We are seeing an unrelenting oversupply of flower inventories and an acceleration of bankruptcy filings amongst peers. Our team continues to work hard every day to turn industry headwinds into tailwinds for our consumers and investors, as we drive toward improved results. Our Liquor Retail business continues to reach a normalized run rate following the return of on-premise consumption post-COVID and we expect seasonally strong results in Q4. This segment has provided operating cash flow that has had a stabilizing effect on our consolidated results and we are pursuing new initiatives that we believe will drive further accretion. Notably, we are in the early stages of developing a cross segment loyalty program and intend to offer point-of-sale analytics as a service in both cannabis and liquor in 2023. Our strong business technology team is a differentiating factor for SNDL and we are excited to unlock the team's capabilities. Scale is mission-critical to our success. The baseline costs of running a CPG-oriented company with the NASDAQ listing, high director and officer insurance rates, internal and external SOX compliance costs and the commercial costs of best practices in CPG, put many of our peers in a position where they are incapable of delivering sustainable profits above the costs associated with managing its infrastructure. This dynamic will drive further industry consolidation and we believe our vertically integrated cannabis business gives us the advantages required to be a strong member of a future oligopoly in Canada. It is worth contextualizing the growth that the SNDL team has built this past year. We have grown our revenue at a staggering rate of more than 1500% on a year-over-year basis. We now manage more than 350 liquor and cannabis stores, making us the largest private market liquor and cannabis distributor in Canada. SNDL's retail strategy is predicated on its quality store locations, wide range of products and differentiated retail experiences. We also own and operate Canada's largest indoor purpose-built cannabis cultivation and processing facility, with a diverse brand portfolio ranging from value to premium. Our cannabis retail and cannabis operations are key enablers in SNDL's vertical integration strategy. With the scale of data and insights generated through our retail network, we are able to continuously tailor our innovation strategy to play in high velocity product segments as well as white spaces in the industry in order to delight consumers. Our integration work and cost control initiatives will continue into 2023, as we remain focused on opportunities related to Alcanna and the recently acquired assets of Zenabis and expect to close the proposed acquisition of Valens in January of 2023.  With Valens, SNDL aims to be a leading Canadian manufacturer, with broad cannabis product capabilities, strong optionality related to low-cost procurement and best-in-class innovation potential. The acquisition enhances our positioning by combining a diverse brand portfolio and extensive retail footprint, low-cost biomass sourcing, premium indoor cultivation and manufacturing facilities. As one of the largest purchasers of biomass in the country, we expect the pro-forma company to take advantage of the current market oversupply, which will enhance margins and provide desperately needed working capital to certain industry participants.  SNDL is well on its way to becoming one of Canada's largest adult-use cannabis manufacturers and retailers and with our retail insights and financial strength, SNDL should be able to adapt quickly to emerging and evolving consumer trends. At the company's inception, prior leadership prudently focused on inhalables formats, that have made up more than 80% of sales in the industry. That said, market dynamics change quickly in cannabis, and Valens provides increased capabilities with a full suite of cannabis products, including injectables and beverages. SNDL will also have the highest pro-forma Canadian cannabis revenue on a last fiscal quarter annualized basis, once we complete its acquisition. We do not intend to participate in the knife fight that is ongoing between Canadian cannabis companies. We seek to be a partner to the industry, promoting best practices, responsible consumption and sustainability. In terms of our investment segment, through the third quarter of 2022, SNDL had deployed capital to several cannabis related investments with an IFRS fair market value of approximately $678 million, including $527 million to the SunStream Bancorp joint venture. This JV has credit exposure to a handful of operators, including Juicy, Skymint, Ascend, Parallel, Columbia Care and AFC Gamma. In the next few weeks, we expect to provide investors and stakeholders with more clarity about our SunStream portfolio activities. While our goal is to generate attractive returns as a strategic capital partner for these borrowers, in certain cases, we may see defaults or other restructurings create an opportunity for SNDL to gain a meaningful operating footprint in a single or multi-state format.  Our transformation is far from complete, but with an improving portfolio, cost discipline and continued organic and acquisitive growth, we are well-positioned to reach our objectives, including the generation of sustainable free cash flow and long-term shareholder value. I am privileged to serve passionate professionals, including more than 2,500 employees who continuously work to transform our business and delight consumers daily. Our vertically-integrated model, dedicated team, best-in-class balance sheet and scale are competitive advantages we have built for the express purpose of giving ourselves the flexibility to succeed under multiple economic and regulatory scenarios. And these are the advantages that will lead us in our next leg of growth. Thank you. And I will pass the call to Jim for comments on our financial results.
James Keough: Thank you, Zach. And good morning, everyone. I'd like to remind you that all amounts discussed today are denominated in Canadian dollars unless otherwise stated. All comparative results for the third quarter of 2021 excluding the subsequent acquisition of Alcanna Inc. which closed on March 31, 2022. Certain amounts that I will refer to on this call are non-IFRS GAAP measures, please refer to SNDL's management discussion and analysis for the definitions of these measures. Before I go into greater detail of SNDL's financial results under each of our four operating segments, being liquor retail, cannabis retail, cannabis operations, and investments. I will begin with our consolidated financial highlights.  It's a pleasure to announce that SNDL achieved record net revenue for the third quarter of 2022 of $230 million compared to $223 million in the second quarter of 2022 and $14 million in the third quarter of 2021. This represents a 3% increase sequentially and an increase of over 1500% year-over-year. SNDL also achieved an adjust EBITDA of 18 million for Q3 2022, up 169% from Q2 2022, and up 74% from Q3 2021. Our cash flow provided by operating activities was 8.6 million in the third quarter of 2022, compared to cash used in operating activities of 17.9 million in the second quarter of 2022 and cash used in operating activities of 56 million in the third quarter of 2021.  Our gross margin grew to 50 million in Q3 2022, a record since SNDL's inception up 17% from Q2 2022, and an increase of over 2700% from Q3 2021. General and administrative expenses for the three months ended September 30, 2022 were $45 million compared to 9 million for the three months ended September 30, 2021. The increase of 35 million was primarily because of increases in salaries and wages as well as office and general expenses from the Alcanna and Inner Spirit acquisitions with SNDL now employing more than 2,500 personnel across all segments.  Net loss for the three months ended September 30, 2022 was 98.8 million compared to net income of 16.7 million for the three months ended September 30, 2021. This increase in net loss of 115 million was largely due to higher G&A expenses about 35 million, depreciation and amortization 7 million, asset impairment of intangibles and goodwill from the Inner Spirit acquisition 86 million, finance costs of 8.3 million, and change in fair value of derivative warrants of 32 million, all partially offset by an increase in gross margin of 48 million, lower investment losses of 12.5 million and transaction costs of 4.9 million. As of September 30, 2022, SNDL has $988 million of cash, marketable securities and long-term investments and no outstanding debt.  I'll now review the results for our liquor retail segment. SNDL currently operates 169 locations predominantly in Alberta under its three retail banners, Wine and Beyond, Liquor Depot and ACE Liquor. Gross revenue for liquor retail sales for the three banners combined was 152 million for the third quarter of 2022, an increase of 4% compared to the third quarter of 2021, despite Alberta's off premise liquor retail volume sales being down this past quarter compared to the same period last year.  Gross margin was $35 million or 23% of sales in Q3 2022, compared to 33 million in Q3 2021. We continue to maintain the margin year-over-year through a pricing and product mix strategy in Q3 2022.  Let's take a closer look at our cannabis retail results next. We currently own and/or operate 183 locations under two retail banners, Spiritleaf and Value Buds. Gross revenue for the two banners combined in the third quarter of 2022 was $66 million compared to 6.1 million in the third quarter of 2021, a 985% increase. Value Buds sales were the material driver of the increase with 58 million of revenue during Q3 2022. Our gross margin for Q3 2022 was 14.5 million or 22% of sales compared to 3.7 million in Q3 of 2021, and is primarily due to Value Buds’ new locations, and aggressive pricing strategy.  I'll now turn to SNDL's cannabis operations results. Gross revenue from the cannabis operations segment for the third quarter of 2022 was 16.5 million compared to 15.4 million, a 7% increase over the second quarter of 2022 and compared to 11 million in the third quarter of 2021, a 49% year-over-year increase. We're pleased to announced we achieved a record gross margin in the third quarter of 2022 of 0.2 million compared to negative 1.9 million for the three months ended September 30, 2021, and negative 4.3 million for the prior quarter. The significant improvement was mainly a result of a 2.3 million reversal of inventory impairment in Q3 2022, which demonstrates SNDL's progress in implementing supply chain excellence.  Next, I'll review our investment operations. As of the end of Q3 2022, SNDL's cannabis related investments had a carrying value of 677 million, including 526 million in the SunStream Bancorp, Inc. joint venture. For Q3 2022 the investment portfolio generated interest in fee revenue of 4.3 million compared to 3.3 million in Q3 2021. Our share of profit of equity accounted investees generated from investments by SunStream was 9.2 million compared to 9.9 million in Q3 2021. That investment loss of 5.5 million is compared to a loss of 18 million in Q3 2021 on marketable securities, which includes unrealized losses on publicly disclosed strategic investments in Village Farms International, Inc. and the Valens Company Inc.  Finally, let's discuss activities that affected SNDL shares. Effective July 25, 2022, SNDL's common shares were consolidated on a one share for each 10 shares outstanding basis as of September 30, 2022 and November 11, 2022 SNDL had an unrestricted cash balance of 291 million and 361 million respectively, and a total of 236 million post-consolidation shares outstanding as of November 11, 2022.  For the nine months ended September 30, 2022, SNDL purchased and canceled 1.7 million common shares had a weighted average price of CAD 3.61, or USD 2.75. per common share for a total cost of 6.1 million. The share repurchase program was scheduled to expire on November 19, 2022. On November 11, 2022, the SNDL Board approved extension of this program by an additional year.  I would now like to invite Tank Vander, President of Liquor Retail to provide further remarks on our liquor retail segment. 
Tank Vander : Thank you, Jim, and good morning, everyone. I would like to start by saying I'm proud of the Liquor Retail team's continued focus on operational performance and dedication to delivering an exceptional retail experience for our customers.  The liquor segment strengthens SNDL’s ability to own the customer relationship and shape the retail experience and our positive results illustrate that capability. Our third quarter results feature sales of 152.5 million, a 4.5% increase from the third quarter of 2021, and a 5% increase from the second quarter of 2022. This result was achieved despite the decrease in off-premise sales across the industry this past quarter due to customers returning to a normal routine after the COVID-19 restrictions were lifted.  The adjusted EBITDA for the Liquor Retail segment increased by a 198% in the third quarter of 2022 compared to the previous year from $4.6 million to $13.7 million. Gross margin in the liquor retail segment was 35.6 million or 23% of sales in the third quarter of 2022 compared to 33.6 million in the third quarter of 2021, an increase of 5.7%. While the yearly gross margin growth is positive and we have maintained it sequentially, central procurement teams carefully planned buying on limited time offers to increase margin. We continued to stay competitive with pricing, especially with our discount banners such as Ace Liquor and capture further market share with a great variety of value products for our customers. SNDL is leveraging the scale, storage footprint and warehousing infrastructure to enable strategic buying decisions that drive margin and competitive pricing. One of our liquor retail strategies to gain great gross margin results remains with our preferred label sales. Preferred label sales were $10.7 million in the third quarter of 2022, an increase of approximately $1 million compared to the third quarter of 2021.  Our liquor retail segment model was built on the premise of operational efficiencies to provide as much value to our customers, while ensuring sustainable profitability. Despite wage increases, we are able to reduce our payroll costs by 3% compared to the previous quarter. We also reduced our operating expenses for the liquor business by approximately 6% in the third quarter of 2022 compared to the previous quarter from $6 million to $5.7 million. Our diligent focus on cost efficiencies allows us to offer a competitive pricing to our community, leading to stable revenue growth.  Our customer count for all our banners is up by 1% year-over-year and the average basket value is up 3%, despite inflation pressures. We see larger basket sizes at our Wine and Beyond locations where consumers come forward the extensive offerings and experiential approach to liquor retail. We currently have 11 Wine and Beyond locations in Alberta and one location in Kelowna, British Columbia.  In Alberta, Wine and Beyond stores account for approximately 3% of the market share in the province, compared in line with the previous quarter, proving the success of the destination shopping concept. Our third quarter sales results for Wine and Beyond were up $33.8 million, a 43% increase from the third quarter of 2021. The increase was mainly due to our four additional stores opened this past year.  We are very proud to announce that Wine and Beyond celebrated its 10th year anniversary this past September. We commemorated this milestone with our community by running a 10 week long celebration that included local beer partnerships, exclusive single barrel take releases, exciting tasting events and various in-store promotions. SNDL operates 169 liquor stores in Alberta. Our liquor banners market share in Alberta where we predominantly operate was approximately the same as previous quarter with 17.6% in the third quarter of 2022. Market share data is based on management's estimates using available industry data.  Moving forward, we will continue to optimize profitability and cash flow for the liquor retail segment by focusing on cost discipline, margin credit products, and differentiated preferred label offerings. We will leverage SNDL's extensive inventory and retail footprint to enable leading e-commerce experiences and touch points. Looking to 2023 and future expansion, our approach will be calculated and focused on current market conditions.  Thank you again for your time this morning, and I'll pass it on to Andrew for SNDL's Cannabis Operations Update. 
Andrew Stordeur: Thank you, Tank, and thank you all for joining today. This is another encouraging quarter for our cannabis operations, building off our positive momentum in 2022. We are beginning to see the scale of our vertical integration strategy deliver our intended results and maturity of our operations solidify our path long term profitability. Coupled with our focus on cost optimization and enhanced product strategy, we are successfully executing our 2022 plan.  Our focus on cultivation excellence continues to show positive returns as gross revenue from the cannabis operation segment for the third quarter of 2022 was 16.5 million, compared to 15.4 million, a 7% increase in the second quarter of 2022, and compared to 11 million a 49% year-over-year increase.  SNDL achieved a record gross margin before fair value adjustments through the three months ended September 30, 2022 of 3.6 million or 31% compared to negative 4.9 million for Q3 2021, an increase of 8.6 million or 176%. These substantial improvements demonstrate SNDLs progress in delivering sustainable top-line growth through managing our product mix, pricing and volume initiatives. I'm also pleased with our continued focus on implementing supply chain excellence to drive discipline around cost optimization despite intense price compression, higher power costs, and overall cost inflation.  To further expand on our product mix strategy, we have increased our inhalable offerings nationally through vape, large format flour, and both infused and traditional pre-roll formats to meet growing consumer demand and drive market share in these keystone segments. We continue to make progress in our cultivation strategy reflecting industry dynamics. Our access to increased data and analytics through our vertical integration at retail enables us to target white spaces and enhance our portfolio offering.  We are excited to announce the launch of the Value Buds private label and partnership with Nova Cannabis, which arrives in Alberta early November, and will launch in Ontario early in the first quarter of 2023. The Value Buds offering focuses specifically on large format flower and is uniquely curated for the Value Buds consumer.  The initial launch includes 4 SKUs in both 14 gram and 28 gram pack sizes with fully compostable packaging. We recognize our role in reducing cannabis packaging waste while also looking at opportunities for significant cost savings. I'm excited to report on this with more detail in the fourth quarter, but the early sentiment for consumers has been very positive. To further build on our large format offerings, under the Palmetto brand, we launched several flower SKUs in the third quarter to fill growing industry demand, including 14 gram formats of both our [Raw Mullein] and OG Kush dried flower.  Moving to pre-rolls, this category inclusive of infused offerings continues to accelerate, representing 7 out of 10 of the fastest growing segments in our own retail locations. Pre-rolls share of revenue and own retail has increased by almost 10% since January, 2022. As such, we have expanded our top leaf caviar cone offerings with two new flavor blends launched in the third quarter. We're also excited to launch our caviar cones reserve pack in Q4 as part of our holiday campaign. Under the Palmetto brand, we will launch a newly infused pre-roll in q4. This enables us to compete in various price points and pack sizes within one of the fastest growing inhalable segments in Canada.  Finally, to build on our vertical integration and export strategies, SNDL completed our first international shipment to Israel in the third quarter of 2022 and through our acquisition of the Zenabis business, we are looking to accelerate further international opportunities. While our primary focus remains on the Canadian market, international export will prove to be a beneficial expansion for our cultivation of processing operations. The additional monetizable inventory procured from Zenabis and increased production capabilities further enables our supply chain to expand our large format flower offerings through our leading retail footprint nationally.  In closing, we remain on track with our plan and I'm proud of how our team continues to execute during a very challenging time within the industry. We're optimistic about the momentum built in 2022 and closing the year strong.  Thank you. Now I'll pass it back to Zach for closing remarks. 
Zach George : Thank you. Overall, I am encouraged by the progress we are making across all aspects of our business. I am proud of the way our team is executing with purpose, confidence and resilience. Our work is far from complete, but SNDL has a tremendous opportunity to continue forging the path forward for regulated products both in Canada and Internationally. The team is committed to building a world class business and we are excited about the possibilities ahead.  Thanks to all, and we look forward to updating you on our progress into the end of 2022. 
Operator: [Operator Instructions] Our first question comes from Shaan Mir of Canaccord Genuity. 
Shaan Mir: My first question is on the cannabis operation. So just based on some of the third party tracking data we subscribed to, we saw that September adult use sales had come down slightly for your brand, specifically towards the end of the quarter and that kind of sustained into October. So I was wondering if you provide any -- some color on the dynamics there? And more specifically what indications do you have or that you've started to capture a majority of the revenue synergies expected from that Alcanna transaction? Or do you see other ways to leverage that platform towards expanding your branded sales from here? 
Andrew Stordeur: This is Andrew. Look, I think first thing I'd say is, we are on our plan for our own retail and our vertical integration strategy. So I think that's tracking as we expected to track. And I would also say too, like, as we've stated before, our focus isn't driving for short-term market share. As you can look at our earnings results here, we have been really focused on the margin profile through mix in volume and pricing. And you can see that start to pay dividends for us as we build out more sustainably.  Obviously, market share important for us. And a couple of things, maybe I'll mention on that point. I think as I stated, we are on our track for our own retail. We are looking at some of the data that we are getting through our own retail and that's obviously vast. And some of the areas that we are focused on, particularly as I mentioned in my comments, is around the pre-roll offerings. And I think that's a big opportunity to see that segment continuing to grow both from traditional pre rolls as well as [indiscernible]. So we're focused on [indiscernible] we've got a fairly large offering moving into some of the large format flower that has not been something that we have had in our portfolio throughout the last couple of years. So we will start to see some of that play out in Q4. And Shaan, that's where primarily majority of that volume is shifting. It's certainly moving away from that 3.5 gram moving into large format flowers. So I think that's also some good tailwinds for us as we think about kind of in the year and getting into 2023. I don't think that's going to stop, particularly given the oversupply day in the market. And then I think, look, I think there is the last component I'd say is, as we think about our recent acquisition of Zenabis and the flexibility and optionality that provides us on low-cost flower and continuing to deploy in that segment, as the industry kind of figures itself out the pricing dynamic and I think that's a positive. And then as Zach mentioned in his comments, we’re excited about the pending close of balance and through that midstream manufacturing side, that's further accelerate our ability to claim these white spaces that our current portfolio doesn't necessarily offer. So I think those are some areas there in market share, but I think are really important to understand the context.
Zach George : So I'm just going to add to that, just to add like, it's important to keep us in context, right? So we closed the Alcanna transaction at the end of March. So when you think about share of shelf, inside the Nova network, it started at zero, okay? So this is not a light switch. We are going to -- we have moved very, very carefully on a sustainable basis, and focused on where economic margin is, but also we are trying drive the right assortment. We are also trying to optimize the performance of the retail network itself. And so you should expect this to be a two year process, as we transition and manage the assortment and mix going forward.
Shaan Mir: My next question is just on your views towards U.S. operations. So obviously, your balance sheet is in a position of strength here. And with Canopy making that announcement for the Canopy USA structure, it seems like there may be a door that might open up a bit for you to leverage that balance sheet in the U.S. So just wanted to get a sense, is this something that SNDL has given any thought to, particularly using a similar structure to make opportunistic plays in the US? Or is the focus still here to remain on building that credit book there?
Zach George: So as you know our pace of deployment has slowed. So we have seen the cycle really start to grip in maturing markets in the US. And so you've seen pressure on flower prices. I would say that we think that the cycle in Canada is as much as several years ahead of what we're seeing in the U.S. So we expect more competition and pressure in the U.S. as those markets mature. We feel quite good about our position with a $0.5 credit portfolio through our Sun Stream venture. And as mentioned, I think that's going to be a pretty dynamic book. In some cases, we will very much be passive strategic suppliers of capital, but in other cases there's still a need for additional working capital and in some cases recapitalizations of businesses and we're well suited to provide leadership and help drive those processes. So we think 2023 is going to be quite an interesting year in terms of our existing capital footprint in the U.S. 
Operator: [Operator Instructions] Our next question comes from Frederico Gomes of ATB Capital Markets. 
Frederico Gomes : Congrats on the quarter. Thanks for taking my questions. My first questions on the cannabis retail segment. So that the number of Spirit Leaf stores declined at this quarter, and apparently that's coming from your franchise network. So could you comment on what's driving those store closures? Given the green environment in retail, how are the economics looking like to Spirit Leaf franchisees? And what are you doing to maybe improve that? 
Zach George: So we've seen quite a bit of activity, and change in the retail portfolio. So we've been actively opening doors in certain cases, closing doors. You recall that, a lot of the site work or franchise partner selection was done by prior leadership. And so still working to optimize that network. And I would expect sort of every iteration of what you would expect to happen going forward, including organic openings closings and growth by acquisition. So this is really a natural process where the portfolio needs to be pruned in a hyper competitive environment. But overall, the network is functioning as you would expect given the dynamics and the difference in the pricing structure that's in the market today. 
Frederico Gomes : And then in terms of your first international shipment this quarter to Israel, and now with Zenabis, how should we look at the potential increase in international sales there and are you looking at other potential markets such as Germany, for example? 
Andrew Stordeur : Frederico, it’s Andrew here. I appreciate the question. Yes, absolutely. I think our first transaction is particularly with export is always the most challenging [build of line]. So really pleased with our team's ability to execute that on the SNDL side in Q3.  We just obviously closed on the Zenabis acquisition on November 1, so it's last two weeks here we've been kind of moving forward there, understanding further opportunities. We look at export as I mentioned in my commentary, as great optionality for our operations business, if Canada kind of figures itself out. We obviously are maintaining our focus on the domestic market. We have lots of interest in our flower, both from legacy Zenabis standpoint and some existing contracts, but also moving forward as other markets and regulatory frameworks figure themselves out. In regards to what the future holds on that front and in other markets, we're looking at all of them. We're going to be pretty focused on the current agreements that we have in place, filling those, but we're setting up our operations to have the optionality required as more regulatory figures itself out depending on which country. And we're certainly continue to look at that, but that's still some ways away, particularly in markets like Germany as we figured that out. 
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Zach George for any closing remarks. 
Zach George: Thank you, operator, and thanks everyone for joining us today. We look forward to updating you on our progress in the near future. Have a great day. 
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.